Operator: Good morning and welcome to the Second Quarter 2018 Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I'd now like to turn the conference over to Jessica Largent, Vice President of Investor Relations. Please go ahead.
Jessica Largent - Newmont Mining Corp.: Thank you, and good morning everyone. Welcome to Newmont's second quarter 2018 conference call. Joining us on the call today are Gary Goldberg, President and Chief Executive Officer; Nancy Buese, Chief Financial Officer; and Tom Palmer, Chief Operating Officer. They will be available to answer questions at the end of the call along with other members of our executive team. Turning to slide 2. Before we go further, please take a moment to review the cautionary statement shown here and refer to our SEC filings which can be found on our website at newmont.com. And now, I'll turn it over to Gary on slide 3.
Gary J. Goldberg - Newmont Mining Corp.: Thank you, Jess, and thank you all for joining us this morning. We turned in strong operational performance despite geotechnical challenges in the second quarter and strengthened our ability to create long-term value for our shareholders. This was the result of a steady focus on meeting our commitments, to apply lessons learned and leverage technology to make our operations safer and more efficient, to deliver two projects on or ahead of schedule and at or below budget, and advance new options to strengthen our portfolio and to maintain our leading dividend, balance sheet and sustainability performance. Turning to more details on slide 4, the first pillar of our strategy is to deliver superior operational execution. In the second quarter, we produced 1.2 million ounces of gold at all-in sustaining costs of $1,024 per ounce keeping us in line with our full year guidance. We also recorded our lowest total injury rate for the year in June and began to apply lessons learned to raise our safety performance, and we continued to improve costs and efficiency. I was at our centralized asset health center in Nevada last week where we've expanded our remote monitoring capabilities beyond North America to include Merian suite. The system detected an exhaust temperature anomaly in a truck operating in Suriname. This early alert allowed the team at Merian to investigate and correct a problem that could have caused serious engine damage. The second pillar of our strategy is to sustain a global portfolio of long life assets. During the second quarter, our teams completed the Twin Underground and Northwest Exodus projects adding lower cost production in Nevada. We reached agreements to acquire a 50% interest in the world-class Galore Creek asset and to partner with Teck to advance prefeasibility studies. We also formed new partnerships with Sumitomo to advance the Yanacocha Sulfides project in Peru and with Maverix Metals through the sale of our royalty portfolio, and we had about 85 drill rigs operating around the world to advance brownfields and greenfields prospects. The third pillar of our strategy is to lead the gold sector in profitability and responsibility. In the second quarter, we declared a dividend of $0.14 per share for the third quarter running and we maintained one of the strongest balance sheets in the sector with an investor grade credit rating and nearly $6 billion of liquidity. Finally, we published our annual sustainability report and hosted an investor briefing to highlight our leading environmental, social, and governance performance. This performance starts with running safe operations. Turn to slide 5, while our safety performance improved last month, it's not where we want it to be and we've launched two initiatives to turn it around. First, nearly 70% of our injuries year-to-date have involved contractors working at Newmont sites. To reverse that trend, we're leveraging our supplier risk management program to improve transparency, accountability and performance. Through this program, we prequalify contractors based on their safety performance and embed robust controls and plans to make safety an even stronger component on contract delivery. Second, following the tragic accident at the Ahafo Mill Expansion, we're putting the results of our investigation to work by applying lessons learned across all of our operations. These lessons focus on establishing and enforcing barricades and exclusion zones, designing and verifying more effective temporary structures, and performing comprehensive risk assessments when tasks or conditions change. We're now rolling these lessons out to all Newmont employees and contractors and sharing them across the broader mining community. Turning to our cost performance on slide 6. Our long-term record shows a steady trajectory of improvement. But as expected, our costs rise temporarily in 2018 as we execute stripping campaigns at Carlin, Twin Creeks, Boddington and Yanacocha. Second quarter costs also reflect planned maintenance shutdowns, lower production and increased investment in advanced projects and exploration. We remain in line with guidance and continue to improve costs and efficiency through our Full Potential Program focusing on enhancing ore body modeling and mine planning, increasing mill throughput and recovery, and leveraging technology based on its value and viability. Turning to production on slide 7. We produced 1.2 million ounces of gold on an attributable basis in the second quarter, and we remain on track to meet our full year outlook of between 4.9 million and 5.4 million ounces of gold on an attributable basis. Our outlook reflects productivity gains in mine planning and mill performance as well as success in bringing new mines and extensions into production, and 2018 continues to be weighted to the back half of the year when we will reach higher grades in Africa and the Americas. Turning to our current projects on slide 8, we recently delivered two profitable projects in North America. First, we achieved commercial production at the Twin Creeks Underground on the 1st of July which will generate an internal rate of return of about 20%. The project was completed on schedule for $42 million, just below our guidance of between $45 million and $55 million. This extension adds higher grade, lower cost production at Twin Creeks, allows us to process stockpiled ore that had previously been classified as waste and will extend processing life to 2030. Second, Northwest Exodus was completed ahead of schedule and within budget at $69 million and is expected to generate a rate of return of more than 40%. This extension adds lower cost production at Carlin and serves as an exploration platform to support future growth. Northwest Exodus also features advanced technology to improve safety and efficiency. We're mining the deposit with two autonomous loaders and pilot testing autonomous drills, and we've set up underground Wi-Fi to keep our people, systems and equipment connected. In Africa, we remain on track to reach commercial production at Subika Underground in the fourth quarter of this year and work at the Ahafo Mill Expansion is ramping up and we expect to reach commercial production in the second half of 2019. In South America, we're accelerating stripping at Quecher Main to extend oxide production at Yanacocha. And finally, in Australia, we're laying pipeline at the Tanami Power project which will lower costs and emissions and facilitate future growth. These six projects will generate an average internal rate of return of above 20% helping to improve our outlook. Turning to slide 9. Newmont's five-year outlook calls for steady gold production at competitive costs with ongoing investment and profitable growth. However, we're beginning to see early signs that input costs including higher oil, cyanide and labor rates could put pressure on our operations and projects. These headwinds are partially offset by a favorable Australian dollar exchange rate and our hedging program through which we've hedged about 10% of our diesel exposure in 2018. We have not changed our global operational guidance, but Tom will cover a few regional and site changes in his remarks. Turning to our latest investment in the future, on slide 10. This morning, we announced agreements to acquire NovaGold's 50% ownership interest in Galore Creek and to form a partnership with Teck who owns the other half. Galore Creek, located in British Columbia, is one of the largest undeveloped copper gold projects and holds the potential for multiple decades of profitable production. The agreement is for a staged and contingent investment of $275 million with an initial payment of $100 million. The balance of the investment will be made in three stages; on completion of the prefeasibility study, the feasibility study and on reaching a final decision to develop the project. We believe this acquisition is a good fit with our skills and portfolio and aligns with our strategy to create long-term value for our stakeholders. It also presented an opportunity to partner with Teck, a company noted for its safety, technical and financial strength and its commitment to leading social and environmental performance. Newmont and Teck will define the scope, budget and timeline for prefeasibility studies over the next several months and manage the project through a joint steering committee. With that, I'll turn it over to Nancy, on slide 11, to discuss our second quarter financial results.
Nancy K. Buese - Newmont Mining Corp.: Thank you, Gary. Turning to slide 12 for the highlights. In the second quarter, we delivered revenue of $1.7 billion, a slight decrease from the prior year quarter, driven by lower sales volumes which were partially offset by higher realized gold price; adjusted net income of $144 million or $0.26 per diluted share; and adjusted EBITDA of $545 million compared to $699 million in Q2 of 2017. Cash from continuing operations was $401 million compared to $525 million in the prior year quarter, primarily driven by lower volumes and higher stockpile inventories and tax payments. Turning to slide 13 to review our earnings per share in more detail. Second quarter GAAP net income from continuing operations was $0.51 per diluted share. Primary adjustments included an $0.18 adjustment related to the sale of our royalty portfolio and an $0.08 adjustment related to valuation allowances and other tax impacts. Taking these adjustments into account, we delivered adjusted net income of $0.26 per diluted share. Turning to capital priorities on slide 14. Newmont continues to have one of the strongest balance sheets in the gold sector and we remain committed to maintaining an investment grade credit profile. In June, S&P Global Ratings highlighted the strength of our financial position and revised its outlook from stable to positive while reaffirming a BBB rating on our senior debt. With liquidity of $6 billion including approximately $3 billion of cash on hand, we remain well positioned to execute our capital priorities including investing in the next generation of Newmont operations to improve mine life and build a stronger reserve base and returning cash to shareholders. Earlier this week, we declared a dividend of $0.14 per share, reflecting an increase of 87% over the prior year quarter. Based on an annualized quarterly dividend of $0.14 per share and the share buyback program, we are on track to return more than $350 million to shareholders in 2018. And now I'll hand it over to Tom for a discussion of our operations, starting on slide 15.
Tom Palmer - Newmont Mining Corp.: Thank you, Nancy. Turning to North America on slide 16. As expected, Carlin's production was lower as we safely completed our annual planned maintenance at Mill 6 on time and under budget, and we continue to monitor and manage geotechnical risks as we work to de-weight the slip in the Silverstar pit from 2016 in order to access the ore. At CC&V, production was impacted by lower leach recoveries and continued stockpiling of concentrates for shipment to Nevada. This quarter, Carlin began processing CC&V concentrates, which will improve recoveries at both sites over time. Through June, we shipped 17,000 ounces to Nevada and stockpiled 29,000 ounces at CC&V. Shipments are expected to increase over the coming months. In addition, improvements to the CC&V mill are now complete. These will allow for the production of a cleaner concentrate to be shipped starting in the second half of 2018. Twin Creeks continues to manage through lower grades as stripping begins in the next layback of the mega pit. And as Gary mentioned, we completed both the Twin Underground and Northwest Exodus projects adding lower cost production in Nevada. I'd like to thank the teams at Carlin and Twin Creeks for continuing to deliver on our strategy and extend the profitable production in North America. And finally, studies into the next phase for Long Canyon are continuing on course. Turning to South America on slide 17. At Merian, we generated solid performance during the second quarter with continued mill productivity improvements. Just last week, I was able to see the new primary crusher operating. It is on track to be commissioned in the third quarter and will help sustain mill throughput when we reach fresh rock early next year. Four additional trucks arrived at site on schedule and will increase hauling capacity going forward, and our Full Potential Program is underway at Merian and we are starting to deliver further improvements. At Yanacocha, an optimized ore blending strategy has helped offset slower leach recoveries, and we expect cost to improve as the change in our mill feed strategy has prioritized lower cost oxides over deep transitional ore. We are accelerating stripping at Quecher Main and expect to start placing ore on an existing leach pad by the end of the year. The drilling program at Chaquicocha Oxides is ongoing and we continue to advance studies for Yanacocha Sulfides to reach definitive feasibility late this year. Turning to Australia on slide 18. KCGM experienced rock falls on the eastern wall of Fimiston Pit in mid-May. The mine detection systems identified movement prior to the event and no one was injured. Mining continues in the southern end of the pit. However, an exclusion zone has been put in place at the bottom of the eastern wall as an additional safety precaution. As a consequence, mining rights have been reduced and we now expect our share of 2018 production to be between 290,000 ounces and 330,000 ounces at an all-in sustaining cost of between $825 and $875 per ounce. We do have insurance coverage for these type of pit wall events and are engaged with the affected underwriters. The Mt. Charlotte underground mine and the KCGM processing plants are operating normally and the site is able to process stockpiled ore. The KCGM team continues to assess longer term impacts including mine plan reevaluations. We have received the API permit for the Morrison layback and subject to the mine plan reviews still anticipate some form of this project to proceed later this year. At Boddington, we delivered a strong quarter with high production as maintenance originally scheduled for Q2 was pulled forward to Q1. This timing shift was part of the site's Full Potential Program to optimize the mill maintenance strategy and improve performance. Looking forward, Boddington is ramping up their planned stripping campaign in the second half of 2018 and it will continue through 2019. At Tanami, strong mill performance and improved mine productivity offset lower grades in the second quarter. The Tanami Power project has been fully permitted and the pipeline construction teams have been mobilized. Civil work for the power stations is well underway and the project is expected to come online in the first half of 2019. Finally, we are advancing Tanami Expansion 2 studies and drilling a pilot hole for a shaft to further inform our approach. Turning to Africa on slide 19. In the first half of 2018, we delivered steady results at both Ahafo and Akyem, as strong mill performance continues to offset harder ores and lower grades. However, at Ahafo, unit costs increased due to high inventory cost driven by lower mine grades and higher surface mining costs. As a result, we now expect Africa's 2018 all-in sustaining costs to be between $890 and $940 per ounce with no change to our production guidance. Looking ahead, we continue to work with the Minerals Commission and are in the process of slightly restarting construction activities at Ahafo's 2 Expansion projects. The delay in the Ahafo mill expansion schedule will shift first gold into the second half of 2019, but we still anticipate reaching commercial production during the same period with no change to the title capital estimate. Subika Underground continues to ramp up, and despite minor delays in constructing surface infrastructure, the project is still expected to reach commercial production in the fourth quarter of this year. We continue to advance studies for Ahafo North and Ahafo Underground, and we progress the Akyem Underground project to prefeasibility. This mixed stage of study will focus on permitting and increasing resource confidence. Turning to the rest of the year on slide 20. We continue to be back-half weighted in 2018. Third quarter production is expected to improve as we increase processing of CC&V concentrates in Nevada and continue mining at Subika Underground. However, costs are expected to increase at KCGM and at Long Canyon and Boddington with higher stripping. We plan to finish the year strongly with grades improving at Carlin, Yanacocha and Ahafo, delivering a highest production and lowest costs in the fourth quarter. In summary, a global cost production and capital outlook is unchanged, and we remain on track to meet our commitments in 2018. Now, I hand it back to Gary on slide 21.
Gary J. Goldberg - Newmont Mining Corp.: Thanks, Tom. Turning to slide 22, we continue to focus on operating and growing our business in four regions where we have the stability, resources and relationships that underpin our ongoing success. More than 70% of our production and about the same amount of our reserves are located in the United States and Australia. And we continue to invest in projects and prospects that will improve our margins, reserves, and resources. These factors position us to maintain stable returns over the next decade and beyond. Our portfolio is also differentiated by a robust project pipeline. Turning to slide 23, Newmont's team has proven its ability to optimize projects, deliver them on time and budget, and generate a solid rate of return. This gives us the means to maintain steady production while growing margins and reserves. Projects included in our outlook are the current and sustaining capital projects you see here. Morrison and the Tanami Power project in Australia, the Subika Underground and Ahafo Mill Expansion in Ghana, and Quecher Main in Peru. Twin Underground and Northwest Exodus are also included in our outlook, but we remove from the pipeline at completion. A mid-term project that will improve our outlook is Ahafo North shown here in green. We continue to invest in progressing our longer term projects shown here in dark blue. This quarter, we advance Akyem Underground from scoping to prefeasibility and expect to start delivering the decline in 2020 – developing, rather, the decline in 2020 with ore process through the existing mill. Finally, we added Galore Creek to our pipeline as a prefeasibility stage project. This pipeline lays the foundation for steady long-term production and profitability. Turning to slide 24, this is our expected production profile for the next seven years. Gold production is forecast to remain at about 5 million attributable ounces and our share of global mine production is projected to grow over the same time period. This profile includes production from existing operations as well as sustaining and current projects that are included in our guidance. The green layer shows production from our mid-term Ahafo North project which is not included in our guidance and the dark blue layer shows two longer term feasibility projects, Tanami Expansion 2 and the Yanacocha Sulfides, representing further upside. Overall, Newmont's stable asset base and robust project pipeline represent a distinct competitive advantage and we will maintain that advantage over the longer term by investing in exploration. Turning to slide 25, in North America, we continue to pursue multiple underground expansions at Carlin and progress the prefeasibility study for Long Canyon Phase 2. Our Plateau exploration program is underway in the Canadian Yukon and we plan to test eight different drill targets this year. Finally, we will begin scoping prefeasibility studies at Galore Creek in the coming months. We expect these studies to be completed over three to four years with an annual budget of between $10 million and $15 million for our 50% stake. In South America, we continue to see favorable drilling and process test results at the Yanacocha Sulfides and Chaquicocha Oxides projects in Peru, and we're working with Continental Gold to support the safe and efficient development of the high grade Buriticá project as well as nearby exploration assets in Colombia. We're also establishing a new country office in Medellín and have appointed a fit-for-purpose team to establish our presence and relationships in the country. In Africa, we're advancing studies to develop underground deposits at both Ahafo and Akyem, and we're working with a local partner, Ezana, to explore greenfields opportunities in Ethiopia. Finally in Australia, we're pursuing our second expansion at Tanami and advancing greenfields exploration prospects across the continent. Newmont has laid a strong foundation for these efforts by establishing fair land agreements with traditional owners and a reputation for respectful engagement. Putting it all together, on slide 26, we delivered solid second quarter performance and are laying the groundwork for an even stronger future. We will continue to execute our long-term strategy which is to deliver steady gold production safely and at competitive costs over a long-time horizon; invest in the next generation of mines, technology and leaders across our business; and lead the gold sector in terms of the value we create and the standards we uphold. Thank you for your time. And with that, I'll turn it over to the operator to open the line for questions.
Operator: Thank you. We will now begin the question-and-answer session. And our first question comes from Michael Dudas of Vertical Research. Please go ahead.
Michael S. Dudas - Vertical Research Partners LLC: Good morning all. Can you hear me, Gary?
Gary J. Goldberg - Newmont Mining Corp.: Yes.
Michael S. Dudas - Vertical Research Partners LLC: Okay. Thank you. So the gestation period for Galore continues. Do you want to share a little more on your thought process here, is it the (25:29) market, pricing, timing, the opportunities in jurisdiction. What were some of the real major thrusts to bring this all together and has this been on the plate for a while or did it happen recently, just a little more color towards the thought process here with Galore?
Gary J. Goldberg - Newmont Mining Corp.: Sure thing. I think as we assess all things, we look for longer term value opportunities and I've been very clear we're looking for gold or copper gold potential. This is actually I think in the history of Newmont, probably the third time around that we've taken a look and this is an opportunity we think at fair value we've been able to acquire and we really like working with Teck. We worked and talked with them in the past. I think our value set and approach to operations and sustainability really come together quite well and just see this as a good opportunity. Clearly, we've got work to do. We've got a prefeasibility study that's going to take the next three to four years to work through with Teck and figure out what is the right way to develop this deposit and how to bring it forward and when to bring it forward. So there's more work to do, but we're excited about the potential both at the resource and working with our new partner, Teck.
Michael S. Dudas - Vertical Research Partners LLC: Gary, you mentioned in your prepared remarks, I think you said 83 rigs around the world that you're working on. As we look towards your reserve profile next year, where are some of the opportunities you're seeing some better results and more exciting results to help us achieve those goals?
Gary J. Goldberg - Newmont Mining Corp.: I mean, I think we mentioned, including in the call here, we're seeing some good results at Yanacocha as we continue to look at both the sulfides and the oxide deposits. Tanami would be another area that looks exciting. I see some interesting results coming out of the Carlin area in terms of work we're doing there. Long Canyon, we continue to bring forward and the Ahafo Underground and, as I mentioned, the Akyem Underground's moved forward. We're seeing some good things there. So still we won't declare reserves changes till the end of the year, but we see ourselves on track towards that 4 million ounce reserve addition, at least that amount here this year.
Michael S. Dudas - Vertical Research Partners LLC: And finally, Gary, as you assess cost pressures as you highlighted, have they accelerated from first quarter or from what you had anticipated a year ago, are they abating and where are maybe one or two areas that are really – I'm sure it's more regional than not, but that is more difficult to offset from Full Potential?
Gary J. Goldberg - Newmont Mining Corp.: Yeah. I think clearly oil costs have affected the whole business, so that one I think everyone's got good transparency and we give some information on. Offsetting that, the Aussie dollar has dropped back down kind of in line with as gold price has come down. So it's down in the $0.74 to $0.75 range. We have seen some cyanide cost increases, and that's really input costs that go into the cyanide product that have been coming through. That's a little bit outside of what we would have had built into our plans. A little bit of labor. Really kind of keeping an eye on, as I said before, we watch where turnover is starting to pick up and we've seen a little bit in North America and in Australia, the labor markets heating up a bit, so we're keeping an eye on that. Nothing outside of what we at this stage had planned for, but it's one that I want to flag for the market as we go forward that we're keeping an eye on.
Michael S. Dudas - Vertical Research Partners LLC: Excellent, Gary. Thank you for your thoughts.
Gary J. Goldberg - Newmont Mining Corp.: Thanks, Michael.
Operator: Our next question comes from John Bridges of JPMorgan. Please go ahead.
John Bridges - JPMorgan Securities LLC: Good morning, Gary, everybody. Thanks for a drama-free set of results. Just following on from Mike's question on Galore, it had a pretty long development plan in some of the earlier feasibility studies with this long tunnel and whatever. I know it's early stage, but would you be sort of likely to be dribbling capital into that to shorten the development program and make it easier to make a decision when the copper price and the markets are receptive?
Gary J. Goldberg - Newmont Mining Corp.: Yeah. I think – thanks for the question, John, and thanks for the comment on the lack of dramas. I think we wouldn't be trying to time a market. I don't think anyone's that good at this stage. What we would be doing is to really step back, take a good look at the work that's been done, a lot of good work has been done already, but then bring our heads together with the technical and social folks with Teck and work together with our team to come up with the best development plan. There's different options in terms of how to access and develop the resource, the several pits or potential pits that are there and we want to work through. So I don't want to preclude anything at this stage. I think we want to take a look with an open mind at all the options.
John Bridges - JPMorgan Securities LLC: Okay. And then just perhaps as a follow-up, you mentioned the underground opportunities within Carlin. What's your vision for that large land package you got there, because if you simply look at the reserve base in Carlin, then it's one of the shorter life assets on a sort of production versus reserve basis. But then, given the underground opportunities you found already and the ones that you have a sense that could be there, then you could be mining there for a long time.
Gary J. Goldberg - Newmont Mining Corp.: I think and as you've seen, Carlin has been in operation for over 50 years, we have a pretty good resource and mineral inventory base that we're pretty confident, as we continue to better understand some of the geology and structure around there, that we could add primarily from an underground standpoint, as I see it, but I spent time – I was out there last week really at all the operations and feel comfortable in terms of extensions around Carlin. Long Canyon, we continue the development of Phase 2. Some interesting things around Emigrant that we're taking a look at. So as we use both current technology and continue to extend the use of our deep sensing geochemistry to better understand things that may be covered at depths that we haven't actually looked at, most of what's been discovered today has had some sort of a surface exposure or been accidentally found by a water well or something. So I think using this technology to try to discover as yet unfound deposits, I think, has good potential in Nevada.
John Bridges - JPMorgan Securities LLC: Okay, great. Good luck and thanks again for the results.
Gary J. Goldberg - Newmont Mining Corp.: Thanks, John.
Operator: Our next question comes from David Haughton of CIBC. Please go ahead.
David Haughton - CIBC World Markets, Inc.: Good morning, Gary, Nancy and Tom. I was actually admiring the core that you've got on page 26 from Tanami. Very impressive bit of VG (32:42) there. Just going over to Ahafo, so you're now pushing the commercial startup, it looks like it would be delayed by as much as a quarter given unfortunately the circumstances early this year. But the CapEx is maintained for 2018. Can you see some sliding of the CapEx from 2018 into 2019?
Gary J. Goldberg - Newmont Mining Corp.: I have Tom address that.
David Haughton - CIBC World Markets, Inc.: Thank you.
Tom Palmer - Newmont Mining Corp.: Thanks, Gary. Thanks, David. What we're able to do following the shutdown at the construction work on site, David, as we worked through that incident and the appropriate recovery from that, is still quite a bit of offsite work going on, so lot of fabrication and procurement works too going on and that was able to help us minimize the impact of schedule. So we're still seeing a similar spend profile in this year as a consequence of that. So there will be a little bit of flow of our capital into next year as a result of the cessation of construction activity on site, but as I say, a lot of offsite work was able to continue through that time period.
David Haughton - CIBC World Markets, Inc.: And you're thinking we should be looking at commercial production more in Q4 of next year than in Q3 or Q2?
Tom Palmer - Newmont Mining Corp.: At this stage, I just keep it to the second half and we were very much in the process of remobilizing now. So as we get back into construction activities proper, then we'll be out to reassess the various work fronts and then understand and refine that schedule. So I'd keep it a second half at this stage.
David Haughton - CIBC World Markets, Inc.: All right. To Kalgoorlie, so guidance this year down 70,000 ounces impact into next year as a consequence of that east wall slip. Can you just walk us through what the implications are for the mining with, I presume, a restricted footprint of access and remedial work, and what it means for the layback of Morrison and the timing of that?
Tom Palmer - Newmont Mining Corp.: Thanks, David. I'll keep going with the answer to that question. So with the slip on the east wall that took out the ramp on the east wall of that pit. So, that was the ramp we're planning to use for the Morrison layback that we were bringing forward. So as we work through the reassessment of Morrison, it will be how we can mine a smaller Morrison and not rely upon that ramp on the east wall. Now, as we work through our longer term plans looking at our – lot of the work today was about safely understanding the impact of that slip and understanding the impact for this year, so work's still underway in terms of the longer term impact and the various scenarios around that. A lot of that is associated with the type of remediation that we'll do on that better east wall and how we might lay back that slip area and the various geotechnical work and the drilling work we'll need to do to better inform that approach. So, that's going to take a little bit of time for us to work through and then understand the longer term impacts beyond 2018 and then how we access the greater Morrison resource, but we'll continue to be mining from the southern end of the pit and there's some material on the western wall as well that we'll be de-stacking that's been sitting underneath the west wall slip and we'll continue to process stockpiled ore through the mill. So the processing plants, the two – well, the three processing plants at KCGM are still running at full rates and in fact they're running at rates that we haven't seen since 2005. So we're maximizing the processing through the plant to minimize the impact from this slip.
David Haughton - CIBC World Markets, Inc.: The strip CapEx there was going to be about $125 million spread over a number of years, 2018 through to 2025 basically and getting production access to Morrison in 2019. Should we be pushing that out by a year or two do you think?
Tom Palmer - Newmont Mining Corp.: We'll have a – I'm anticipating having a smaller Morrison this year. How big that is and what the spend will be, we're still working through. So we need some more time to work through that process. So we'll need to come back to you at a future date with some more information there, David.
David Haughton - CIBC World Markets, Inc.: All right. I'll leave it there for now. Thank you.
Gary J. Goldberg - Newmont Mining Corp.: Thanks. Thanks, David. And reminder, you get an opportunity to see first-hand that core from Tanami if you visit in November that we've got planned with investors.
David Haughton - CIBC World Markets, Inc.: Very nice.
Operator: Our next question comes from Stephen Walker of RBC Capital Markets. Please go ahead.
Stephen David Walker - RBC Dominion Securities, Inc.: Thank you. And just a follow-up on David's question if I might, maybe is it reasonable to look at KCGM as for the next couple of years, anyway is maintaining sort of your share of production at the 280,000 to 300,000 ounce a year range that is looking at the stockpiles, lower grades and the other sources of work to basically sustain that at these levels. Is that a safe assumption when we look at our model for KCGM?
Gary J. Goldberg - Newmont Mining Corp.: Yeah, I think at this stage, Stephen, as we continue as Tom described the planning work that's going on, I think that's a good starting point and we'll give further update most likely when we give our full year guidance for 2019 at the end of this year.
Stephen David Walker - RBC Dominion Securities, Inc.: Thank you. And then just a separate question on CC&V. Tom, you made the reference to that you shipped about 17,000 tonnes (sic) [ounces] of con to the Carlin plant. I guess the question is on a quarterly run rate basis, what should we assume and is that concentrating – is that concentrate displacing roaster ore as it is a lower grade roaster ore and should we see an improvement in what comes out of the roasters in Carlin as you ship more material from CC&V?
Tom Palmer - Newmont Mining Corp.: Thanks, Stephen. I just might clarify that was 17,000 ounces of gold that we shipped in a 30,000 sitting stockpiled. You will certainly see – there's two things. That stockpiled ore will start to – stockpiled concentrate will start to move through the third and fourth quarter. We'll stockpile them because we had to do some improvements to a county road that are now complete, so we're ramping up shipments as we speak and we are now commissioning the cleaner concentrate circuit that will produce a higher grade particularly in sulfur coming out of the CC&V plant, so that gold and sulfur will go into Mill 6, so it provides a heat source that allows us to put higher grade Carlin ore through Mill 6, so we will see some benefit at Carlin as a result of that fuel source that comes from that concentrate. We are still very much on target to hit our guidance for CC&V, so if you just look at first half and extrapolate to where we're predicting guidance to be for the year, you can get a measure of the impact of shipping that concentrate to Nevada is going to have on CC&V gold production for the full year and in particular the second half.
Stephen David Walker - RBC Dominion Securities, Inc.: Perfect. And then presumably extend that into 2019, 2020 as well?
Tom Palmer - Newmont Mining Corp.: That's right. That process of sending concentrate to Nevada will continue in the future years.
Stephen David Walker - RBC Dominion Securities, Inc.: Perfect. Thank you very much for that, Tom. That's all my questions.
Gary J. Goldberg - Newmont Mining Corp.: Thanks, Stephen.
Operator: Our next question comes from Tanya Jakusconek of Scotiabank. Please go ahead.
Tanya Jakusconek - Scotia Capital, Inc.: Okay. Good morning, everybody. I guess David asked my questions on the Morrison layback, and just to make sure I understood, so by year-end, we will have some sort of an idea when you put out your guidance, I guess, in December. What the sort of smaller Morrison layback looks like just with the – getting back to the ramp access that you right now don't have, is that a clear – am I understanding it correctly?
Gary J. Goldberg - Newmont Mining Corp.: Yes. That's correct, Tanya.
Tanya Jakusconek - Scotia Capital, Inc.: Okay. So I'll leave that one. And maybe I can come back to two other things. One is just back on Galore Creek. Just wanted to understand, Gary, you said this is the third time you've looked at this. Coming back to it a third time, was it – there is a willing seller right now, was it just a willing seller? And how did you come up with the valuation on the purchase price, was it based on dollar per ounce in the ground, was it based on a discounted cash flow? I'm just trying to understand how you put value on this.
Gary J. Goldberg - Newmont Mining Corp.: Well, little bit of all of the above. And it was about a year ago that we began dialog with the group and have worked through our view on what the value of the deposit is at this stage and then went through the normal sort of commercial negotiation that you go through to reach commercial terms and we staged it. So as we move forward and get better confidence in it, it's tied back into us gaining greater confidence in the future and how it would be developed. So, that didn't come all at once. We worked through that as we worked through the prefeas and then feasibility studies.
Tanya Jakusconek - Scotia Capital, Inc.: Okay. So is it safe to say that it's been a year that you've been working on this and you've looked at all of the studies out there and somewhere between looking at the studies and valuation on per ounce in the ground is how you came up with your purchase price for unstaged (43:01) payments?
Gary J. Goldberg - Newmont Mining Corp.: Yes, that's correct.
Tanya Jakusconek - Scotia Capital, Inc.: Okay. And then just coming back to Akyem, I noticed that you put a press release on your website with regards to some contention with farmers around the area and some compensation. Can you just give us an update of what's exactly happening there?
Gary J. Goldberg - Newmont Mining Corp.: Sure. I'm going to hand over to Tom to cover that.
Tom Palmer - Newmont Mining Corp.: Thanks, Gary. And thanks, Tanya, for the question. We're working through a process where some local residents raised some concerns over payment of ground and crop compensation that dates back to before the mine started and then having some issues around mine-related impact. So everything we're doing is consistent with what we're required to do and in terms of the agreements we've had in place. But we've been involved in good faith dialog with community leaders, with the people who are raising these concerns and working through a mediation process to reach a form of resolution there with them. And that process has been progressing over a period of time. What you saw in more recent times is the group which we're quite comfortable with stage a demonstration to further support their claim. So, that took place, a peaceful demonstration over a few hours a couple of days ago. So the activity was related to that. But we continue to engage in good faith dialog to reach a resolution with those people who are raising those concerns.
Tanya Jakusconek - Scotia Capital, Inc.: And when is the mediation? Do you have a timeline for the mediation process?
Tom Palmer - Newmont Mining Corp.: It's been ongoing and we will continue to work through that process until we can reach a resolution. There isn't any fixed deadline, but we remain ready, willing and able to sit down and discuss these issues with them.
Tanya Jakusconek - Scotia Capital, Inc.: So besides the peaceful demonstration that you had the other day, is that really the only sort of demonstration you've had on this site with respect to these farmers and their crops?
Tom Palmer - Newmont Mining Corp.: Yes. Going back in terms of my memory and it's – yes, that would be the case.
Tanya Jakusconek - Scotia Capital, Inc.: Okay. And we've seen nothing like this at Ahafo in that area?
Tom Palmer - Newmont Mining Corp.: We haven't seen demonstrations on these particular issues at Ahafo, but we do see from time to time demonstrations over different issues that we need to work through with the community and the community leaders to manage and understand those issues. So it's not unusual in Ghana to see the community demonstrate as part of a process of talking through their issues.
Tanya Jakusconek - Scotia Capital, Inc.: Okay. We'll continue to monitor it. Thank you very much.
Gary J. Goldberg - Newmont Mining Corp.: Thanks, Tanya.
Operator: Our next question comes from Mike Jalonen of Bank of America. Please go ahead.
Michael Jalonen - Bank of America Merrill Lynch: Hi, Gary. Maybe a question for yourself; and Randy, just coming back to Galore again, I know there's been a few questions, but I still haven't quite heard from you because here's a project that Teck basically mothballed many years ago, never heard much about it and then now it's come back to life again. Just wondering where Teck – or sorry, Newmont, I guess Teck also, see the opportunity to improve the economics of the project that could lead to a positive feasibility studies or attractive returns, I guess, that's what I was wondering.
Gary J. Goldberg - Newmont Mining Corp.: Yeah. I think as you look in Teck's published information, they've got it out there as a longer term opportunity. We see it in a similar manner and one that we'll work together to see if we can improve on the valuation. I'm going to see if Randy wants to add anything to that.
Randall E. Engel - Newmont Mining Corp.: Mike, I think there's – this project, there is opportunities to look at the things like the tunnel, the access opportunities, I think phased mine planning, plant design optimization, all of those opportunities with taking two quality partners like Teck and Newmont working together, it really could create some substantial value above and beyond what's been looked at so far. I think there is good opportunity to define the upside further on the ore body and the resource.
Michael Jalonen - Bank of America Merrill Lynch: Okay. Does this kind of signifies Newmont's acquisition strategy, focusing on more longer term development projects rather than assets in production?
Gary J. Goldberg - Newmont Mining Corp.: Yeah, I think that fits with what we've been saying to the market, what we went through at our Investor Day, really looking at earlier stage opportunities that we can bring in either through our own exploration or through partnering with different parties and bringing those forward. That doesn't mean we won't look at operating assets, much like we did with CC&V a few years ago, if we can obtain them at fair value.
Michael Jalonen - Bank of America Merrill Lynch: Okay. Well, thank you.
Gary J. Goldberg - Newmont Mining Corp.: Thanks, Mike.
Operator: Our next question comes from Greg Barnes of TD Securities. Please go ahead.
Greg Barnes - TD Securities, Inc.: Yes, thank you. Gary, are you getting a better sense around the Chaquicocha Oxides and how that fits in between now and Yanacocha Sulfides and how that fits in potentially with Quecher Main?
Gary J. Goldberg - Newmont Mining Corp.: Yeah, at this stage, Quecher Main is progressing well. We hope to see some initial production there later this year. And that's actually doing quite well. We were down there last month visiting. The Oxides is yet to be included in any of our plans. So it'd be something as we put our plans and give our forecasts later this year for 2019 on out that we'd look to include the Oxides, but we continue to see good potential for both the north and the south Chaqui Oxides as we continue to drill and get a better handle on that. So, that would be in addition to what we've already provided in guidance and something that we'll present later this year.
Greg Barnes - TD Securities, Inc.: Quecher Main is a couple of hundred thousand ounces a year and bridges you to Yanacocha Sulfides, this would be over and above that in terms of incremental production.
Gary J. Goldberg - Newmont Mining Corp.: That's the right way to look at it, Greg.
Greg Barnes - TD Securities, Inc.: Any sense of potential there?
Gary J. Goldberg - Newmont Mining Corp.: We'll come out with that later this year when we give guidance.
Greg Barnes - TD Securities, Inc.: Okay. Fair enough.
Gary J. Goldberg - Newmont Mining Corp.: Thanks. Thanks, Greg.
Operator: Our next question comes from Lucas Pipes of B. Riley FBR. Please go ahead.
Lucas N. Pipes - B. Riley FBR, Inc.: Hey, good morning, everybody, and thank you for taking my question. Not to belabor Galore Creek too much, but obviously over the last few years there has been a tremendous amount of uncertainty caused by resource nationalism and obviously Galore Creek safe jurisdiction in British Columbia. To what extent did that play a role in evaluation of this asset and the strategic decision to invest there?
Gary J. Goldberg - Newmont Mining Corp.: Yeah. I think as you look, we've got a footprint that's in four jurisdictions that allows us to take a look at potential opportunities in all those four jurisdictions. Canada being one and we think this is a good – it's one of the elements clearly, Lucas, that we do consider when we look at opportunities. So, that was one of the elements.
Lucas N. Pipes - B. Riley FBR, Inc.: But it's not – I shouldn't read it as a pivot more towards safe jurisdictions you continue to feel comfortable, kind of where you are or do you think maybe the center of gravity could shift a little bit over the coming years.
Gary J. Goldberg - Newmont Mining Corp.: I think we continue to go where the best assets and the best potential profile is. An example is the Medellín office that we've just opened up in Colombia. We see that as a strategic toehold there towards what we see as an improving situation there and something that looks good. Much like we saw Peru 20 years ago, we see Colombia. So I wouldn't say we're rushing in any certain direction, we're going where it makes sense.
Lucas N. Pipes - B. Riley FBR, Inc.: Got it. Thank you. And then on Galore Creek, do you think that the project is more valuable with Teck as a partner or do you think it could maybe make sense for you to go ahead by yourselves?
Gary J. Goldberg - Newmont Mining Corp.: No, I think our view is working alongside Teck makes good sense there.
Lucas N. Pipes - B. Riley FBR, Inc.: Got it. Okay. Well, thank you very much.
Gary J. Goldberg - Newmont Mining Corp.: Thanks, Lucas.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Gary Goldberg for any closing remarks.
Gary J. Goldberg - Newmont Mining Corp.: Thank you for joining our call this morning. Newmont delivered solid second quarter results. We produced 1.2 million ounces of gold at all-in sustaining cost of $1,024 per ounce, in line with our full year guidance. We delivered two profitable projects, established strategic partnerships and invested in an exciting growth opportunity in British Columbia. We also declared an industry-leading dividend while maintaining a strong balance sheet and continue to provide more information on our environmental, social and governance performance and our goals for the future. We look forward to maintaining a momentum in the second half and continuing to lead the gold sector and profitability and responsibility. Thank you for joining us and for your interest in Newmont.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.